Operator: Good day, everyone, and welcome to the Guess Third Quarter Fiscal 2025 Earnings Conference Call. I would like to turn the call over to Fabrice Benarouche, Senior Vice President of Finance, Investor Relations and Chief Accounting Officer. Sir, you may begin.
Fabrice Benarouche: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer; and Dennis Secor, Interim Chief Financial Officer. During today's call, the company will be making forward looking statements, including comments regarding future plans, strategic initiatives, capital allocation, and short and long term outlooks. The company's actual results may differ materially from current expectations based on risk factors included in today's press release and the company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earnings release. Now, I will turn it over to Carlos.
Carlos Alberini: Thank you, Fabrice, and thank you all for joining us for our Q3 Fiscal 2025 Quarterly Conference Call. We are pleased to share with you our third quarter results and the progress we have made to date this year against a number of important operational, strategic and financial objectives, as we continue to focus on driving sustainable revenue and earnings growth and creating value for our shareholders. As we enter fiscal 2025, we outlined six critical objectives that we were focused on. These objectives relate to organizational talent, growth, brand relevancy, customer centricity, product excellence and optimization. I will speak about the progress that we have made against these objectives, and I will provide details on our third quarter results and our near and long term outlook. Turning first to our operating results. In the quarter, we grew revenues by 13%, reaching $739 million, slightly lower than we had expected due to a stronger US dollar than we had anticipated. Our company growth was fueled primarily by the addition of Rag & Bone, along with a modest increase in sales from our core Guess business. During the quarter, all of our operating segments posted revenue growth with the exception of licensing, which was flat as a result of internalizing outerwear. For our core Guess business, our revenue performance was at the low end of expectations, but we delivered earnings at the high end of expectations as a result of improved expense management. We performed well in European wholesale, delivering a mid-single digit sales increase, which included some earlier than planned deliveries. Growth was even stronger in the Americas wholesale business with sales increasing roughly 25% as this business benefited from internalizing outerwear. In European retail, we experienced a similar sales trend as in the second quarter and performed at the lower end of our expectations. We overcame softer store traffic with stronger conversion and higher AURs, yielding a positive comp. In Asia, our core Guess business declined slightly with softness in our South Korea and China businesses. Asia did not meet expectations in the quarter. Our Guess Americas retail business also missed our expectations and the business remained particularly challenging. Store traffic remains under pressure, yielding comp sales declines. We believe our fall product is strong and we have made sure that the collection is well represented in our stores in the region, including a strong presentation of global best sellers. We also believe that enhancing our marketing and customer engagement efforts is critical to turning this business around and we are actively working on this opportunity for the holidays as we speak. In addition, we are evaluating our pricing strategy given current consumer sentiment and the competitive promotional environment. Moving next to our product performance. We experienced different performance levels across each region. In Europe, accessories, women's apparel and footwear all delivered sales increases, while we experienced declines in both our men's apparel and Marciano businesses. For this season, Paul and the product teams introduced a lot of new product in the collections, including a new capsule of women's sweaters that performed strongly, while women's outerwear, denim pants, active wear and men's sweaters also contributed to the comp increase. These trending categories more than offset some continued softness in our dress business in the region as trends have shifted into other categories in the last few months. In the Americas, while both our women's and men's businesses were down, women's and men's sweaters performed strongly, just as they did in Europe, driven in part by the new capsule that I just mentioned. We also saw sales declines in most accessory categories as well as in footwear and Marciano, though fragrances and watches were notable exceptions, both growing in the quarter. And finally, our licensing business performed better than expected and delivered flat royalties versus last year with growth in fragrances, footwear and handbags offset by the categories that we internalized this year. Turning to Rag & Bone. We continue to be very pleased with the strong collaboration of our two teams and the progress of the integration of the business onto our platform. Rag & Bone's top line was short of our plans for the quarter, though some of that relates to a shift in the timing of wholesale shipments, which we now expect in Q4. Overall, the business remains on a solid trajectory and its direct-to-consumer trends were particularly strong in October. Thus far for the year, the Rag & Bone brand is delivering double-digit sales growth against its prior year numbers. Rag & Bone's team led by Andrew Rosen as Executive Chair of the brand and working in strong collaboration with Paul is delivering solid growth for the company and many initiatives are now in progress to expand the business through new stores, product category, and international expansion. Regarding third quarter total company margins, we delivered gross margin of 43.6%, consistent with our expectations going into the quarter. Turning to total company SG&A, we managed expenses well during the quarter. About three quarters of our year-over-year expense increase in the third quarter was to support our near and longer term growth objectives. As we had planned, we significantly increased our marketing and advertising investments, roughly an 85% increase against last year's third quarter. This growth includes increased investments in our Guess brand, investments in Rag & Bone domestically and abroad, and in Guess jeans. These investments are primarily directed to build stronger brand awareness and enhance our engagement with our customers. In the quarter, we delivered adjusted operating profit of $43 million and an adjusted operating margin of 5.8%, both within the range of our expectations. And we delivered adjusted earnings per share of $0.34, also consistent with expectations in spite of a higher adjusted income tax rate for the period. Which brings me to our outlook. We are now adjusting our outlook for the year to incorporate our recent trends as well as external factors like currencies, freight costs and taxes outside our control, but very impactful to our results. When we last provided our outlook, we had expected some stabilization in our retail businesses and an environment where we could manage promotions more tightly than last year. But with the softness that we experienced in the third quarter, primarily in North America and in Asia, we are adjusting our fourth quarter revenue outlook to reflect that softness and a consumer who is clearly more sensitive to price. We are also adjusting our promotional plans for the holiday season, given the customer's price sensitivity and our expectations of the overall competitive landscape. Freight costs, which have been volatile all year given the Red Sea crisis also moved against us again, and that too will negatively impact Q4. On currencies, the recent strengthening of the US dollar will put further pressure on Q4 revenues and margins. And last, we expect the lower earnings will result in a higher income tax rate for the year. As a result, we now expect full year revenues at or slightly below $3 billion, growing between 7% and 8%. And we have updated our adjusted EPS outlook for the year to a range of $1.85 to $2.00. Dennis will take you through our outlook in more detail in just a few minutes. So let me now pivot and talk about the future as we continue to make progress against a number of important operational and strategic objectives. As I have discussed throughout the year, our vision for growth has evolved over time. And we are now focused on leveraging the powerful platform that we have built at this company to support not just the continually expansion of the Guess brand, but the expansion of multiple brands. We have broad channel capabilities distributing through our own stores, online, big department stores and thousands of mom & pop shops. We have a global footprint with management teams and partners already distributing in 100 countries. We have an extensive global supply chain. And along with our licensee partners, we bring products to market in 25 different categories. Our platform enables us to do things that others simply cannot do from expanding regional brands globally to transforming monocategory brands into lifestyle brands. As we look forward to further leverage our platform model, we continue to be focused on our key objectives and I will now elaborate on two of this, growth and marketing. Underlying all of this is our ongoing commitment to product excellence and optimization of our operations to drive efficiencies. Let me start with growth. As I just said, we continue to see greater opportunities for growth with our Guess brand as well as with both Rag & Bone and Guess Jeans. Rag & Bone was already on a solid growth trajectory when we acquired it. In collaboration with our partners, Yehuda Shmidman and his WHP global team, our goal is to accelerate that growth with all the fuel that our platform brings. And that acceleration is already happening. With access to capital and additional capacity, the brand will expand through new stores, new and expanded product categories and penetrating new markets, focusing initially on Europe, the Middle East, Mexico, Canada and Australia. For Rag & Bone in Europe, we envision distribution that relies primarily on wholesale partners, supported by retail stores in key cities to introduce the brand and build customer awareness in the region. We have signed a lease for a new store in Amsterdam and are actively pursuing additional stores in Munich, Dusseldorf, Stockholm, Copenhagen, and Vienna. We have begun marketing to seed awareness, even before the brand is available in those markets. We are also in discussions with potential partners to represent Rag & Bone outside of Europe, in Mexico, the Middle East, and Australia. We have already inked an enhanced handbag deal and are working with our licensees to bring more categories to the brand. Moving to Guess Jeans, under Nicolai Marciano's leadership, we are building momentum with this brand. We have augmented the line based on the feedback that we have received from the market and the response to our newest collection has been quite positive. The brand is doing well in wholesale accounts in Europe. And in January, we'll be launching Guess Man at the Pitti Uomo trade show in Florence, Italy. We have opened three stores in Europe in Berlin, Amsterdam and near Milan. And we are set to open two more stores, one in Tokyo with a big event to launch the brand in Japan and the other one on Melrose in West Hollywood, California. In addition, Macy's just recently agreed to bring Guess Jeans to about a dozen of its stores in the US. For Guess in Europe, as we assess our category development, the competitive environment in the region and our brand positioning, we see significant opportunities to grow. Specifically in the handbags and footwear business, outerwear and sweaters, women's and men's apparel, denim, athleisure and various accessories for both women and men, including fragrances and luggage. Our results in North America have not been in line with the brand's potential and we have a much smaller store portfolio today. However, we are developing strategies to reverse the trends that we have been experiencing, especially as it relates to customer acquisition and engagement. We are currently reviewing our pricing strategies in the region, especially in our factory business, aligning that business with the expectations of our customers and the competitive environment as this customer has become highly sensitive to price. Moving then to marketing. Our experience is that today's consumers are more discerning in managing their spending and the world of social media and customer engagement has evolved significantly. We have challenged ourselves to broaden our own marketing capabilities to build a best in class marketing engine. For Guess, our brand review and benchmarking study led us to the conclusion that there are opportunities to make incremental investments in social media, collaborations, customer engagement and CRM to connect more and differently with our customers and enhance their shopping experience. We also identified opportunities to place the customer at the center of our product development cycle, actively listening to our customers to impact product design and styling and relentlessly focus on meeting their needs and expectations. Over the past year, with Paul's vision and guidance, the Guess team has executed a dynamic and multifaceted marketing strategy designed to elevate our brand relevance among younger audiences and deepen connections with our loyal customers. Key initiatives encompassed innovative collaborations with emerging talent, strategic influencer partnerships and immersive experiential activations that covered very cool destinations like a Safari in Africa and branding events in beach clubs and winter resorts. This efforts also included highly targeted campaigns tailored for millennial consumers featuring Georgina Rodriguez in our holiday campaign across print, out of home Connected TV and paid digital media and hosting more than 80 in-store events during the period. This quarter, we engaged an external partner to help us develop a social media strategy that speaks to all of our customers across multiple customer segments. It's about a six month program that will track the efficacy of our existing social media practices and refine our strategic framework to work with today's consumer. Ultimately, our goal is to build a powerful marketing engine that can support Guess and our other brands. We have just begun this project and we'll be excited to share some of the key outcomes in the quarters to come. In closing, one of our company's most defining strengths is its ability to adapt. Continuously evolving to seize new opportunities and achieve greater success. This adaptability is embedded in our DNA. While it originated with our founders, it has become a hallmark of our culture, guiding our entire organization. Our journey at Guess began as a denim wholesaler, but over time, we expanded our horizons, evolving into a true lifestyle brand. We extended beyond US wholesale, reinventing ourselves as a specialty retailer and embracing multichannel capabilities along the way. Later, we set our sights on global expansion and today, almost 75% of our sales come from international markets. Our track record speaks to our ability to identify opportunities, reposition resources and execute on our vision. As we look ahead, our continued growth and value creation depend on our ability to once again evolve. Our focus is on optimizing our global platform to support and expand our existing businesses while fostering new ones, both organically as with Guess Jeans and through strategic acquisitions like Rag & Bone. This requires a dual focus. Preserving the aspects of our business that are thriving while addressing areas of challenge. For instance, in our US Guess business, we see opportunities to improve. We are reevaluating every element of our customer experience, understanding their needs, preferences and expectations from product offerings to pricing and brand engagement. Additionally, we are assessing our organizational structure and leadership to ensure that we have the right talent and strategies in place for success. Guess has a proud legacy in the US market and we are fully committed to reclaiming and building upon that strength. Admittedly, the road ahead is ambitious. Yet, I'm confident in our team and our culture. Together, we have consistently proven our ability to manage the present while planning for the future. Some initiatives will deliver swift results, while others will require more time. Investments in marketing, for example, may not deliver immediate returns and acquisitions like Rag & Bone will not occur every year. This dynamic could result in year-over-year growth rate variability, particularly as we transition from this year's acquisition driven momentum to next year's focus on organic growth. Despite these nuances, I remain incredibly optimistic about the opportunities before us. Our business competencies and the caliber of our team position us for enduring success. Paul and I extend our deepest gratitude to our team members for their hard work and dedication. We also want to wish a Happy Thanksgiving to them, their families and our valued shareholders. Together, we look forward to a future filled with growth and achievement. And with that, I will hand over to Dennis to review the third quarter and share our outlook for the balance of the year. Dennis?
Dennis Secor: Thank you, Carlos, and good afternoon. Before I get into the details, just a quick reminder that we've fully integrated Rag & Bone's operating results into our existing operating segments. So as Carlos mentioned, Q3 revenues increased 13% in US dollars, reaching $739 million. With the steep strengthening of the US dollar in the quarter, currencies, which we'd expected would be about a 1.5 point tailwind, actually turned to a small headwind. More than a $10 million revenue change versus expectations. In constant dollars, our revenue grew 14%. Overall, our revenue growth was driven primarily by the addition of Rag & Bone. Revenues for the core Guess and Marciano business grew modestly in the low single digits with growth in the Americas wholesale and European businesses offsetting declines in both our Americas Retail and Asia businesses. In Europe, we grew US dollar revenues by 7%, reaching $368 million. Revenues grew 6% in constant currency. Retail comps, including e-com increased 8% in US dollars and 7% in constant currency. As has been the case for several quarters, Turkey's hyperinflation had a meaningful impact on those comps. Excluding Turkey, that constant dollar comp increase would have been 5%. In our stores, we delivered a constant currency comp increase of 5%. As Carlos highlighted, we did experience softer traffic to our stores compared with a year ago, though a sequential improvement over the second quarter. Improved conversion and a higher AUR more than offset the small traffic decline to drive the positive comp. Our e-com business improved sequentially with a 16% constant currency comp increase. Our European wholesale business continues to perform well with revenue growth in the mid-single digits. In fact, we shipped more in the quarter than we had anticipated to support the solid sales momentum in our customer's businesses. The operating margin in our European business was 8.8%, 150 basis points lower than a year ago driven by higher selling, occupancy and infrastructure costs and increased marketing investments, all of which more than offset better product margins, mainly driven by a lower level of markdowns. In Americas Retail, revenues grew 12%, reaching $173 million. In constant dollars, the growth was 14%. Similar to last quarter, the segment's growth was driven by the addition of Rag & Bone's retail business more than offsetting the declines from the core Guess business. Traffic headwinds, coupled with the decline in conversion resulted in an overall 14% constant currency comp decline in our US and Canadian stores. Including e-com, the comp decline was 15%. Americas Retail posted an operating loss margin of 4.3%, roughly a 10 point decline from last year's third quarter. That margin decline was driven primarily by deleverage on the fixed cost base given the comp declines along with higher expenses, including store occupancy costs. In Americas wholesale, revenues increased by 79% in US dollars to $99 million, driven by the addition of Rag & Bone along with higher shipments in the US. The revenue increase in constant dollars was 83%. The growth in the US Guess business was driven by the direct operation of our outerwear business, which last year was operated as a license business, and increased shipments to off price accounts. Operating margin was 25.7%, 340 basis points lower than last year's Q3, driven mainly by the addition of Rag & Bone. In Asia, revenues increased 2% in US dollars to $65 million. In constant currency, revenues also grew 2%. Growth from India and Rag & Bone was partially offset by declines in most of our Asian businesses, including South Korea and China, where traffic to our retail stores remains under pressure. Retail comps, including e-com for the region decreased 16% in constant currency. Our operating loss margin in Asia was 2%, compared to a 1% operating profit margin in last year's third quarter, a negative three point change due mainly to lower product margins and negative comps. And finally, our licensing segment revenues were flat despite the internalization of our outwear business. Segment operating margin was 91.8%. In the third quarter, total company gross margin reached 43.6%, 110 basis points below a year earlier. With the softness in our business coming from retail, which carries a higher product margin, channel mix was the biggest headwind to gross margins along with occupancy deleverage given comp headwinds. Partially offsetting that was an improved IMU and fewer markdowns. Adjusted SG&A expenses for the quarter increased 20% to $279 million. The most significant drivers of this change resulted from our acquisition of Rag & Bone as well as the incremental marketing investments that we're making to increase the exposure of the Guess brand and to build awareness for our new Guess Jeans brand. To reiterate Carlos' point, 77% of this expense increase results from these two items. In addition, we increased infrastructure expenses in both North America and Europe. Partially offsetting these increases was a lower level of performance-based compensation given this year's expected performance. For the quarter, our adjusted SG&A rate increased 2 points to 37.8%. In the quarter, our adjusted operating profit totaled $43 million and with the lower gross margin and higher SG&A rate, our adjusted operating margin declined 310 basis points to 5.8%. Just as the recent strengthening US dollar affected our top line, it also negatively impacted our operating profit expectations by $3 million. In the quarter, we recorded an adjusted effective tax rate of 36.6%. As we've adjusted our full year estimate of earnings across our various companies and tax jurisdictions, we now expect to operate with a higher full year adjusted tax rate. Therefore, our third quarter tax provision includes the accrual associated with third quarter earnings, along with the adjustment for the first half of the year. In the third quarter, we recorded $6 million in non-operating charges. Primarily resulting from marking to market our foreign currency hedge contracts. One other item within non-operating activity, we reported a net charge of $40 million related to a non-cash unrealized loss due to the remeasurements of derivatives associated with our convertible notes and related hedge. Consistent with prior quarters, we have excluded this latter $40 million amount from the adjusted results we are reporting in order to facilitate a better understanding of our normal commercial operations. Adjusted Q3 diluted earnings per share was $0.34, compared to $0.49 in last year's third quarter. Moving now to the balance sheet. Our inventories were $676 million at the end of the quarter, up 20% from a year ago. Our investment in inventory includes Rag & Bone's inventory, which we did not own last year. That represents half of the growth. In addition, given the Red Sea crisis, we've taken steps to protect our European business and preserve deliveries to our customers. One consequence of this is the higher freight costs that Carlos discussed. In addition, we've accelerated deliveries from our suppliers, not ordering more, just taking delivery sooner. Most of that inventory was in transit to our warehouses at the end of the quarter. Those in transit inventories represent about 8 points of the growth. Factoring out those two discrete investments, inventories were up in the very low single digits. For the first nine months of the year, capital expenditures were roughly $64 million, mainly driven by investments in store remodels and openings and technology. We ended the quarter with $141 million in cash compared to $244 million a year ago. Over the last four quarters, we've generated $135 million in free cash flow, and drew $132 million on our various debt facilities. We repaid $33 million on our convertible notes, paid $184 million in dividends, repurchased $82 million of our common stock, and paid $57 million to acquire Rag & Bone. We ended the quarter with $345 million of borrowing capacity on our various global facilities, so $486 million of available liquidity. So now moving to outlook. Let me summarize the key factors from the third quarter that are impacting our outlook for the remainder of this year. I'll start with Europe, which has been our strongest region in the recent past. As we shared before, in our wholesale business, we believe we have been gaining share among our wholesale accounts, bolstered by the performance of our brand in their stores and our reliability as a partner to deliver product despite the many challenges of the recent past, COVID, the supply chain crisis and now the Red Sea. Our spring/summer 2025 order book finished up 10%, and despite having one less selling week this year, we expect to deliver top line growth for the full year. So we continue to be quite pleased with this business. As I said earlier, we were able to deliver more of the current season in the third quarter than we had anticipated, so that will have an offsetting effect on our fourth quarter revenues. In European retail, our business generally performed in line though at the lower end of our expectations and our expected comp performance for this business remains largely unchanged for the fourth quarter. Also, as Carlos alluded, we anticipate now that freight costs will be higher to support our fourth quarter business both because of higher ocean charges as well as additional air freight. These incremental freight headwinds, which we estimate in the $5 million range will have the most consequential effect on our European business. Moving to North America, as you heard from Carlos, we were disappointed with the performance of our retail business in the third quarter. Traffic headwinds became stronger in the quarter, both in the US and in Canada, and we were unable to convert that traffic better than we had in the past. We believe given that inflation and economic concerns have been top of mind issues for consumers, especially in the United States, we are seeing this reflected in our customers as they shop. We expect that this dynamic will persist in the fourth quarter. As Carlos also shared, we're re-examining our pricing and promotional activity for the fourth quarter and expect that all these factors will now impact our top line and margin expectations for this business. In Asia, especially in South Korea, we experienced a similar dynamic to the US, and are also adjusting our expectations for fourth quarter revenues and margins. And now to currencies. In the past three months, the US dollar has strengthened significantly against virtually all of the major currencies in which we operate. As an example, since August, the US dollar has appreciated about 5.5% against both the Euro and Swiss Franc. Against our prior expectations, the stronger US dollar, assuming it remains at roughly prevailing rates will consume about $45 million in full year revenues and about $10 million in operating profit for the full year, both including the third quarter impact I mentioned a moment ago. Therefore, based on these factors, we have updated our outlook for the full year. We're adjusting our revenue expectations by roughly $70 million to $80 million and now expect revenue growth in the range between 7% and 8%. More than half of that change reflects the impact of the stronger US dollar. With the balance reflecting the impact of weaker retail trends in North America and Asia. We now expect full year adjusted operating margin between 6.2% and 6.5%, reflecting roughly a $35 million to $45 million operating profit reduction from our prior expectations. The combined effects of the stronger US dollar and higher freight costs result in about a third of that reduction. With the balance being driven by the lower expected sales and margins from our retail businesses. Given the higher expected adjusted tax rate along with the third quarter non-operating charges, we have updated our outlook for adjusted EPS in the range of $1.85 to $2.00. For the fourth quarter, we expect revenue growth in the range between 2.2% and 5.4%. Adjusted operating margin in the range of 12.2% and 13%, and adjusted EPS in the range of $1.37 to $1.52. As you look at our Q4 outlook, there are a few factors to consider. First, the fourth quarter last year included an extra week. The negative impact of that extra week on this year's fourth quarter growth rates is roughly 5 points. Also, given its large wholesale mix, Rag & Bone's largest selling quarter is typically the third, unlike the fourth quarter for our core Guess business. Therefore, Rag & Bone in this first year of the acquisition will naturally contribute more to third quarter growth rates than to the fourth quarter growth rate about 3 points more. Rag & Bone still contributes meaningfully to our Q4 growth just not as much as it did in Q3. This all should normalize once we fully anniversary the acquisition. Adjusting for these two factors should give you some additional insight into the sequential business trends. The Q4 operating earnings comparison to last year is similarly clouded by last year's extra week as well as by currencies. If we normalize for these two items, the midpoint of our implied Q4 adjusted operating profit outlook is roughly flat to last year. And finally, as to free cash flow outlook, we now expect free cash flow for the year of about $40 million at the upper end of our guidance. This is lower than we had previously expected due to the change in operating income and to the early receipt of inventories, which we ultimately expect to turn favorably once supply chain issues are resolved. So with that, we'll end our prepared remarks and open the call up to your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mauricio Serna with UBS. Your line is open.
Mauricio Serna: Hello. Yes, good afternoon. Thanks for taking our questions. Just wanted to get a better sense if you could bridge a little bit more like how you're thinking about the Q4 revenue growth. Maybe I'm very interested in hearing like the impact from the Europe wholesale shipment, how much of that are you seeing? And then in terms of if we think about the long term -- sorry, operating margin opportunity. I know like this year, you've been -- you have like several investments that you're doing and there's like some FX headwinds. But like looking into the longer term, where do you think that operating margin could recover at some point too? Thank you.
Carlos Alberini: Hi, Mauricio, this is Carlos. I'm going to start and then Dennis will talk more about the bridge that you're asking. But, we were pleased with third quarter. In terms of the top line, we were in line with what we had anticipated and the guidance that we have provided. Except for the strength of the dollar that during the quarter worked against us, as you know, we have a very big business in Europe and that has been impacted significantly and also other currencies had an impact on third quarter. So for that reason, we were at the low end of that guidance gap. And during the quarter, there was something that really helped us contributed to the top line and also the bottom line performance, which was shipments in Europe in our wholesale business that were ahead of what we had anticipated. So some product shipped earlier than we what we expected, which was going to be in the fourth quarter, that represented about $10 million. And we, of course, that is expected to impact the fourth quarter, but that has already been considered within our revised outlook. And we were very pleased with this development, because number one, with the whole crisis of the Red Sea and the delays in shipping that we are experiencing throughout the supply chain, to be able to really secure the type of product that we needed to service the business well was a major success story for our team. And we feel that the other great part of this is that the brand is doing very well. And our retailers, our customers at wholesale are anxious to get more products from our brands. We think that we are taking market share during this time. And to have access to product, I think is number one. We experienced the same thing back during COVID days and supply chain issues that we were experiencing back then. And we know that that helps solidify our relationships with our customers and we will continue to protect that ability, that capability. We have incurred significant cost to be able to do this, including alternative shipping modes like air freight in some cases. And also we have adjusted our supply chain processes to be able to really get product earlier and working with our vendors in very close proximity. And we have made some changes in where the product is coming from. That is also helping us in this particular case with some of the product being moved into proximity to where the product is going to be distributed. Just with respect to operating margin opportunities, just that we -- when I came back to the company at the time, just we were looking at an operating margin of about mid-single digits and we set our eyes on developing a model that was going to go back to a double digit operating margin. And we achieved that. Unfortunately, during the last few quarters, we had some challenges. We think that that is completely achievable for the type of business model that we have in the company. And the investments that we have made, while they are just in their inception, especially Rag & Bone, which is of certain size, we're talking about a company that did $250 million last year. We think that this is a brand that has major opportunities to become a lifestyle brand and global brand and that is what we are hoping that we will be able to achieve over time. Yes, Rag & Bone today is dilutive to our operating margin, but we don't think that's going to be the case for long. So we are hoping that after we make on some of these initial investments that we'll be able to start gaining some just momentum with the brand. The business model, I think is very attractive. We see all of their stores are doing really well in terms of four wall EBITDA contribution. And we feel that this should be a contributor to margin as opposed to a dilutive factor over time. So double digit operating margin is definitely within our sites. And I'm not saying that, we -- that's going to happen next year, but we don't see any just limiting factors to be able to accomplish that with this company, especially considering that we are collecting over $100 million in royalties every year with a 90% operating margin. So a lot of opportunity there. Dennis?
Dennis Secor: Yes, on to the fourth quarter bridge, if you think about last fourth quarter against this Q4, you first have to start, there is some fairly sizable and significant non-comp issues. A couple I mentioned in the prepared remarks, you've got last year had the extra week. Obviously, that creates a headwind as well as currency. So those combined to be a high single digit sort of headwind going into the quarter. Then you've got contributing Rag & Bone, obviously is a non-comp event going the other way. We get all that top line in the quarter. And the rest of the organic business, which net you still get some level of growth similar to the third quarter, we're seeing growth coming from Europe. The wholesale business should be a strong contributor to our growth. As we said, the spring summer order book was up in the 10% range. So notwithstanding the fact that we're going to have one fewer selling week in the year, we still see the European wholesale business growing. We still have tailwinds coming from the European retail business and the e-com business. The challenges are in, as they were in the third quarter here and in Asia, where we've got some headwinds in the retail business. The wholesale business in America also should be a contributor as we've internalized rather the outerwear business here. So I think those are the large drivers. And then just to remind you what we said in the prepared remarks, if you look at last year on the bottom line, the operating earnings line and you factor out the extra week and the currency, you get to a -- in the midpoint of our guide, you get to roughly a flat operating profit level year-over-year.
Carlos Alberini: Yes. And this is after making additional investments in marketing, which are significant. Just you saw the change over our marketing investment last year, this year, we're talking about a rather significant number. We are very convinced that there is a big opportunity for us to really regain top line momentum by investing in marketing overall. So we are doing this in a very surgical way and we are seeking some advice from some experts on social media, and all those projects are ongoing. And I think that the team did a very good job during the last few months, just increasing the intensity of the kind of activities where we are investing, including a lot of influencer programs and experiential activations. We are doing a lot in targeted campaigns for a very specific consumer group. Georgina Rodriguez did another campaign with us. Paul is -- has been just working with that team now for some time. Georgina continues to gain in popularity. She has over 64 million followers in Instagram. She is on her third season with Netflix, doing a great job with that. And we think that she is very relevant for our consumer group. So very exciting. And then we are doing a lot of in-store events. This is something that I don't know how many brands have the capability to do this. We did more than 80 store events during the last few months. We think that this is -- these are very, very powerful. We just did one in Vegas this past Saturday, for example, the stock the store was up 60% for the day, just to give you an idea of how powerful these moves are. And then in terms of also investing in loyalty. We just launched a new loyalty program in Europe. We just tested two countries, Poland and Italy as pilot tests. And our plan is to go into several other countries in Q1 next year. But we are excited about this program. We think that this is very unique. It's truly omnichannel, the program, this is going to cater to our customer, overall customer in Europe. So we take the Eurozone as our field and people are going to be able to redeem points or whatever we do in any one of those countries. So you don't have to be limited to your country of origin or where you live. And we think that this is going to be powerful as well. The program is also integrated with our client telling app in store. So then we can offer a better experience and service our customers with a full set of tools. So I'll stop there. Thank you, Mauricio.
Mauricio Serna: Thank you, and best of luck.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Eric Beder with Small Cap Consumer Research. Your line is open.
Eric Beder: Hi, good afternoon. So I want to step-back and think about this. So if I look at the overarching kind of shifts in the Guess brand, it has been over the last few years, a shift to a universal product and a shift to escalate -- excuse me, to elevate the brand in terms of products, in terms of way you do the stores, in terms of way you interact with the customer. And if you look at Europe, that's been a huge success for this. The elevation has led to more sales. And if you look at the US, especially the retail stores, that hasn't had the same impact. Does this concept of having a truly universal product offering make sense given these different continent. How should we be thinking about this in terms of going forward in terms of the brand?
Carlos Alberini: Thank you, Eric. It's a very good question. Just we have done this what you call universal product line, we call it the global line of product, which we have implemented for all our product categories, which are 25 of them. And this was a major effort. It got finalized during the last three years, I would say now, which is the major effort started with COVID and it went into just it took us about two years to complete most of what we were trying to do now. This is impacting all the product lines, including our full price outlets assortments and so forth. And I would say that you are absolutely right, this project has been tremendously successful in Europe. The brand has been elevated to a very, very significant point and we feel that the customer has embraced all these efforts in both in a full price and also in our wholesale business and also in our e-commerce business. We always said that the brand was perceived at a much higher level in Europe than it was in our US business and that we think has been the result of a lot of promotional activities in this market. And we think that because just we had a long legacy in wholesale with in department stores, and many of our other brands that are in our space were kind of like just competing on the same floors, on the same locations. It was -- it became more a price competition as opposed to just the uniqueness of the product that was being offered to the customer. And we think that that had an impact on how the brand was perceived. But we feel that over time, we have been turning that. We have a very limited offering now. We are talking about closing this year with about 55 stores in North America that includes both US and Canada that I'm talking about. And of course, that has an impact on how the brand is perceived and accessible. And our business on e-commerce is also relatively limited. We are working to really reclaim this space. Just part of that elevation that you talked about is also a change in styling. And the assortment today is a lot more on the contemporary space. And we have by changing that styling, we have created a space with a casual wear. And we think that Guess Jeans is a perfect candidate to fill that space. So of course, today, we don't have the distribution for Guess Jeans. This is a new project that Nikolai is heading. And we are very pleased with the initial results of this offering, but most of that business is at wholesale and is primarily in the European region. We think that there is a big opportunity here in the US for that product, because it is a lot more casual wear, more reclaiming the DNA of the denim part of the assortment for Guess. Also, price points are a lot more attractive and more directly or directed to a younger customer. We are working on marketing. We think that that is going to be a key tool for us to really change the relevancy and the awareness of the brand. We are also looking at pricing. Just we have increased prices quite significantly. We are talking about AUR growth of about 30% from the time when just prior to everything that I'm describing now, I'm talking about pre-COVID, our prices are up 30%, and we are seeing gross profit margin increasing by about 900 basis points. So it's a pretty significant change that we have affected. We think that it was the right thing to do, and these changes have impacted just most product categories that you can find in the store today. But that being said, we are seeing that a lot of our competition has been more aggressive with pricing and promotional activities. And we are looking at that to make sure that we don't lose in this type of a competitive environment. And we feel that we definitely have the room, because we have created that room through the price increases. And -- but we want to make sure that we continue to run the business with that feeling that the brand is more elevated. We are putting more quality into the garments. We are doing a lot of things that are driving improvements in sustainability. We are doing a lot of things that we think are key for the customer that is really interested in our products. And we feel that just creating built big opportunities in key categories like just what we have with outerwear, what we have in our accessories world. This is a company that does about 45% of the business in with accessories, 55% only is apparel. And we feel that is very unique. We have a big handbag business. We have in our strong businesses with products in other apparel categories. We think that going back to Guess Jeans can help us to develop further our men's business that has been just contracting during the last few years. So we see a lot of opportunity here. Obviously, we cannot do everything at once, but we think that the brand has a big place here in the US and Canada, and we plan to go back and rebuild it.
Eric Beder: Okay. I'm going to ask the obligatory tariffs question. Obviously, you have a much wider international base than most other companies that have US operations. How is your ability to respond if the government raises tariffs on goods from Asia and China? Thank you and good luck for the holiday season.
Carlos Alberini: Yes. Thank you, Eric. Well, of course, we are looking at tariffs and we are looking at our sourcing. We have done a lot of work to really reduce our dependency on China. During the last few years, we have a very strong team in Europe that leads all these efforts and they have done a great job in reducing that. And while we do have today, we think that there is a plenty of flexibility to move the sourcing to other places and we are looking into that as we speak. That being said, of course, there are some products and some categories where the Chinese vendors are very strong at and we have to be very careful. We still don't want to compromise the quality and the make of the products that we do make. So definitely, we're going to be watching for this. And then there are some other parts, I just read about Mexico being just another target here for tariffs. We do not have significant sourcing now, but there are a few categories that we depend on Mexico and we may have to look at other alternative sources. And we are not concerned about that because just the business is -- can be -- can depend more on South America and other parts. We do, especially in the type of product that we bring from Mexico. So overall, just definitely this is going to be more challenging, but because of all the work that has been done during the last few years, and we don't see this as a very significant issue. There are some categories where things are more challenging but we are looking at those as well.
Eric Beder: Okay. Thank you. Good luck for the holiday season.
Carlos Alberini: Thank you, Eric.
Operator: Thank you. Ladies and gentlemen, at this time, I would like to now turn the call back over to Carlos for closing remarks.
Carlos Alberini: Thank you, operator. Well, I just want to say thank you to all of you for your participation today. Really, this was a challenging business, but we are very pleased with our performance this quarter. And we are also very pleased with all the progress that we are making this year. We feel that the company is going through a period of transformation. We are making significant investments to create value for our shareholders in the long term. We are well positioned for the future. We believe that we have all the tools to really bring a lot of value and we are very excited about our opportunity. So we wish you all a very Happy Thanksgiving with your families, your friends and we look forward to reconnecting for our year-end report. So have a great day and thank you again for your participation.
Operator: Ladies and gentlemen, that concludes today's conference call. You may now disconnect.